Operator: Hello, and welcome to Vallourec Q4 and Full Year 2024 Results. My name is Rusty, and I will be your coordinator for today's event. Please note that this call is being recorded. [Operator Instructions] I will now hand you over to your host, Mr. Connor Lynagh, to begin today's conference.
Connor Lynagh : Good morning, ladies and gentlemen, and thank you for joining us for Vallourec's Fourth Quarter and Full Year 2024 Results Presentation. I'm Connor Lynagh, the Vice President of Investor Relations at Vallourec. I'm joined today by Chairman and Chief Executive Officer, Philippe Guillemot; and Vallourec's Chief Financial Officer, Sascha Bibert. Before we begin our presentation, I would like to note that this conference call will be recorded. Replay will be available following the call. You can find the audio webcast on our Investor Relations website. Presentation slides referred to during this call are also available for download here. Today's call will contain forward-looking statements. Future results may differ materially from statements or projections made on today's call. The forward-looking statements and risk factors that could affect those statements are referenced on Slide 2 of today's presentation. These are also included in our Universal Registration Document filed with the French financial markets regulator, the AMF. This presentation will be followed by a Q&A session. I will now turn the call over to Philippe Guillemot.
Philippe Guillemot: Thank you, Connor. Welcome, ladies and gentlemen, and thank you for joining us to discuss Vallourec's Fourth Quarter and Full Year 2024 Results. You can see today's agenda on Slide 3. I will move directly to Slide 5 where I will start by discussing the highlights of 2024. 2024 was another transformative year for Vallourec. We progressed several major strategic initiatives and achieved key financial milestones. As you know, our ownership structure changed materially as we welcomed ArcelorMittal as a new anchor shareholder of Vallourec. We are very pleased to have the support of a strong industrial partner in our shares and on our Board. We also finalized the sale of the substantial majority of Rath, our last remaining production site in Germany, for EUR 155 million. We announced our first acquisition in nearly a decade with our purchase of Thermotite do Brasil for around EUR 17 million. We further progressed our margin expansion initiatives by commencing our Tubes optimization program in Brazil. This program targets over EUR 150 per tonne in regional cost improvement. Finally, we started production from our Phase 1 mine extension and are now benefiting from the higher-quality reserves in the fourth quarter. Paired with strong operational execution, these actions enable us to reach our 0 net debt target, a full year ahead of plan, but we reduced net debt by nearly EUR 600 million. We achieved our target capital structure at the end of Q2 following our holistic balance sheet refinancing in April. We are now a resilient -- we have now a resilient flexible balance sheet. We have, therefore, created the conditions to pay Vallourec's first return to shareholders in a decade with a EUR 1.50 dividend we will propose at our upcoming AGM. Let's turn to Slide 6 to discuss our results and outlook. In the fourth quarter, we delivered another solid set of results with our group EBITDA margin increasing sequentially to 20% due to stronger tubes shipments. As I noted, we reached our net debt 0 target a full year ahead of schedule. In the first quarter, we expect sequentially higher Tubes EBITDA per tonne to be more than offset by lower international shipments. As a result, we expect Q1 EBITDA to range between EUR 180 million and EUR 215 million. We expect that our EBITDA run rate will improve in the second half of 2025 versus the first half of 2025. This will be driven by an increase in international shipments and invoiced prices and the ongoing improvement in U.S. market prices. This strong exit rate will give us solid momentum moving into 2026. As noted, we will propose a EUR 1.5 dividend to be voted at our 2025 AGM. Consistent with the ambition laid out at our Capital Market Day in September 2023, this represents 90% of our second half 2024 total cash generation. Looking at our operations, our Brazil optimization program is progressing very well, and our cost savings are ahead of plan. We will fully realize the targeted benefits in 2025 due to the strong performance on the various cost initiatives. The overall OCTG market remains supportive. We have seen stable, healthy market pricing in international regions. In late 2024, we saw an acceleration in our international bookings at favorable terms. Meanwhile, U.S. OCTG prices have continued to improve. We have now seen 6 straight months of increasing spot prices. Recently announced tariffs will likely drive pricing towards more sustainable levels for the domestic industry. The strong demand trend for our products we noted starting in the third quarter last year has persisted through today. Now let me provide an update on our overall strategy and our capital allocation framework. Let's move to Slide 8. We have seen this slide before, which lays out the major programs and milestones in our strategic journey. Today, we will focus on a new topic: how we plan to grow our premium product offering. In addition, I will walk you through our capital allocation and shareholder return framework, leading to our 2025 dividend proposal. Please, let's turn to Slide 9. This is our overall framework for capital allocation. We have 3 objectives which drive how we manage capital within this company. First, we will maintain a crisis-proof balance sheet. Second, we will invest our capital to sustain and expand our premium market position. Third, we will establish our shares as a high-yielding investment vehicle. Starting on the left side of the slide, we have clearly accomplished our goal of building a crisis-proof balance sheet. Going forward, we have 3 key targets for balance sheet management. First, we will maintain more than EUR 1 billion in cash and available liquidity facilities to give us significant financial flexibility. Second, we will retain a conservative leverage target of 0 net debt, plus or minus 0.5x of net leverage. Finally, we will finance our business primarily with long-duration, fixed-rate debt to limit market risk in our capital structure. Moving to the middle of the slide. We aim to secure and grow our results in the future and will further the value over volume strategy by sustaining and expanding our premium market position. We have relatively low maintenance capital requirements, approximately EUR 100 million to EUR 125 million per year. We will invest an additional EUR 50 million to EUR 75 million per year in projects that add premium downstream production capabilities like heat treatment, threading and coating. We will also allocate capital over the next years to expanding our high-quality mine reserves. Our final capital allocation principle is that we will establish our shares as a high-yielding investment vehicle. We set the ambition at our Capital Market Day to return 80% to 100% of our total cash generation to our shareholders once we achieve our target capital structure. We are making good on that promise today only 18 months later. This high-payout model will be our guiding principle in shareholder returns going forward. Let's turn to the next slide to discuss the details of our shareholder return policy. I am on Slide 10. Again, our core principle is that we will return 80% to 100% of our total cash generation to shareholders. Here, we specify that this means that a given year's total cash generation will be returned at the latest with a dividend proposal the following year. Our leverage and liquidity targets will govern the level of return within this 80% to 100% range. We will remain flexible in how we distribute our cash. We have a desire to pay an ongoing annual dividend as well as to mitigate future dilution in our share capital. This year, based on this consideration, we will propose EUR 1.50 per share dividend, which represents 90% of our second half 2024 total cash generation. We are pleased to start this return program with a significant distribution. Looking to the right, you know that we have generated significant cash flow in 2023 and 2024. While executing the New Vallourec plan, our cash flows have been burdened by nonrecurring items. Over time, this will trend down as we finalize the various programs. Meanwhile, we have also allocated a significant portion of our cash flows to debt reduction. With our target capital structure achieved, these cash flows are now available -- fully available for shareholder returns. While we have used historical cash flow to demonstrate this point, our ambition remains to grow our business, improve our margin and generate significant cash flow that we can return to our shareholders. Let's move to Slide 11 and return to our operations. You are familiar with the 2 objectives of the New Vallourec plan: crisis-proofing our business and closing our margin gap versus peers. With our crisis-proofing now complete, we are fully focused on improving our margins. We have made significant progress on our cost structure, and you are aware of our largest ongoing cost initiative in Brazil. We have also opportunities to improve our top line via price and mix. Since I joined Vallourec, we have emphasized value over volume in everything we do. This has been most visible in our willingness to exit low-value markets. With some of this repositioning behind us, we are increasingly focused on growing our competitive advantages. I reiterate that we do not need or intend to add greenfield steelmaking or rolling capacity. We plan to grow our production capabilities for highly differentiated products. On this slide, there are 3 examples of where we will invest our capital over the next few years. First, in the United States, operators have continued to drill longer and longer horizontal wells. The demand they are placing on their tubes and particularly their connections are not addressable with legacy connection technologies. We already see very strong demand for high-torque connections, especially our VAM SPRINT series. The market for this product should continue to grow as our customers push the limits of horizontal drilling technology. Therefore, we have kicked off a project to expand our capacity for high-torque connections in the U.S. Third-party [ measuring ] data will confirm that these products currently earn a 5% to 10% premium versus a competing product. On the far right, we recall our pending acquisition of Thermotite do Brasil, which we discussed last quarter. Adding this to our offering can double our average selling price per tonne on some of our project line pipe business. In the middle, you can see our CLEANWELL coating solution. We are very excited about the market potential for this solution. CLEANWELL is a sophisticated dry-coating technology that allows operators to avoid dope or grease in their tube management and running processes. Vallourec delivers major cost and environmental benefits through this solution, and we have the best-performing product in this class. We have recently opened a new CLEANWELL line in the U.S., our second line globally. We have opportunities to grow our global capacity further as market penetration increases. I will stop short of commenting on its price potential, but you will note that it is located between the 2 other solutions on this slide. Looking forward, we are convinced that this and other technologies will allow us to deliver best-in-class margin. Let's turn to our usual discussion on the OCTG market. I am on Slide 13 where we focus on the U.S. market. On the demand front, the horizontal rig count has been stable since mid-2024. We do not assume a recovery in the rig count in our current outlook. However, the rebound in natural gas prices over the past several months could give some upside in gas basins later in the year. We noted last quarter that in spite of a stable rig count, we had seen a significant increase in order activity in the third quarter. That strong order trajectory has persisted through the fourth quarter and into the first, which is extending our backlog in the U.S. Looking at the supply side, imports were suppressed through 2024, particularly when excluding major welded importers. We will look at this topic in more detail shortly. Looking on the right, spot pricing has been increasing since September. We see room for it to continue to rise as inventories have normalized and market sentiment is strong. Let's move to Slide 14 to dive deeper into the topic of U.S. imports. Here, we break out seamless and welded imports in 2023 and 2024. As a reminder, the Trump administration has removed all of the previously negotiated exemption and quotas under the prior Section 232 tariff system and replaced them with a blanket 25% tariff applied to all steel imports. Welded products tend to have lower import values and may be less responsive to the tariff. However, most operators do not use welded tubes for critical applications like production casing, which is where we focus. In addition, I would remind you that the core objective of this new trade policy is to increase the utilization of U.S. steel mills. Therefore, we trust that the White House is attentive to the risk of removing quotas on exporting countries. We believe the administration will react quickly should these countries increase their exports to the U.S. as a result of these new policies. Turning to seamless imports. These products tend to have higher import values and will likely be more responsive to tariffs. In addition to these new tariffs, we expect a tighter balance for seamless product in 2024 as [ tile ] exports are likely to remain suppressed. We have a favorable position as a domestic producer. We essentially produce all our onshore product offering within the U.S. Our U.S. production system is fully vertically integrated. We source scrap domestically and produce all our current steel needs in our [ EAF ], electric arc furnace in Ohio. Our rolling, heat treatment and threading capacity is all inside the U.S. We only import part of our tube needs for offshore markets as no domestic mills, including our competitors, can produce some of these offshore products. Everyone in this market will face the same cost increase from new tariffs. We also have invested in our capacity in the Southern U.S. for the past year to serve more and more offshore needs domestically. Overall, we are very well positioned to navigate this new environment. Let's move to the international OCTG market on Slide 15. Demand remains stable at the high level in international markets. Our core regions in the Middle East, Africa and Latin America have remained robust, in part due to our strong position in high-value markets like unconventional gas and deepwater. As I noted earlier, we saw very robust bookings and project awards at attractive terms in the fourth quarter. This was particularly driven by the Middle East and North Africa regions. Our premium portfolio often allow us to outperform the price indicators we show on the right side of this slide. I confirm that our average booking prices for international markets have remained at very healthy levels due to our ongoing focus on value over volume. We see a robust pipeline of demand in our core markets that sets the stage for continued strong results. I will now hand the call over to Sascha to comment on our financial results.
Sascha Bibert: Thank you, Philippe, and good morning to you all. I'm starting on Page 17. We successfully closed the quarter and delivered another year with a 20%-plus EBITDA margin. Next to operating profitability, we are building a track record in generating consistent net income and, thereby, earnings per share. We have now converted net debt into a net cash position, allowing us to turn our company into a high-yielding investment for shareholders. All of this is the consequence of the fundamental changes we have made to the portfolio over the last years, supplemented by various other initiatives, including working capital management and optimizing our balance sheet via disposals and financings. Today, we have a different business and customer mix with, for example, a higher focus on OCTG while having stopped supplying products for the European industry market. We have made significant changes to our operating footprint with the closures of the European facilities and the reduction of capacity in China, the latter leading to a spectacular turnaround with margins now in line with the group average. Therefore, our key message is that our success is not the result of riding cycles, but the consequence of deep changes we have made in our business. On Page 18, our EBITDA decreased year-over-year, but increased sequentially to EUR 214 million. This sequential increase was driven by both the Tubes as well as the Mine & Forest segments. The year-over-year reduction resulted from a substantially lower U.S. EBITDA, driven by a $600 to $700 per tonne reduction in the invoice price. Additionally, in this year-over-year comparison, the mine was impacted by both lower prices and lower volumes. Meanwhile, our businesses in Brazil and the Eastern Hemisphere performed very well. Page 19 shows that Q4 was a stronger quarter in terms of invoiced tonnage at 362 kilotonnes. Compared to Q3, we saw healthy volumes both in the Middle East as well as in the U.S. The average selling price declined as in our U.S. business, the fourth quarter was the low point in terms of invoice price. Going forward, our U.S. invoice price will follow the increase we have already seen in the spot price over the last months. Moving to Page 20. The slight reduction in the average selling price also impacted the Tubes EBITDA margin and EBITDA per tonne. In line with our improving outlook throughout 2025, we also expect the EBITDA per tonne to increase in the first quarter and further in the second half of 2025. Shifting to the Mine & Forest segment on Page 21. The segment outperformed expectations voiced during our Q3 call with Q4 volumes of 1.3 million tonnes, leading to full year volumes of 5.4 million tonnes. The ore price was sharply down year-over-year, but increased sequentially. EBITDA was supported by a good quality of the ore mined following our successful Phase 1 extension project. In addition, we had a EUR 6 million positive forest revaluation effect to be compared with EUR 2 million in Q3. This led to EUR 40 million EBITDA in the quarter and EUR 108 million in the full year, surpassing our guidance, which aimed at slightly below EUR 100 million. Page 22 shows that our net income in the quarter came in strong at EUR 163 million, adding to the track record we have now established. To support you in thinking about our net income for the coming quarters, let me give you some help for each line item per quarter. D&A in Q4 was impacted by a slightly higher amortization, leading in total to EUR 67 million. A run rate of EUR 50 million to EUR 55 million is likely more normal. Financial income was impacted by our decision to retain the unpaid portion of the state subsidized loan, which is a cash flow positive decision. However, in Q4, there is a noncash accrual impacting financial income, which in total was minus EUR 29 million. A loss of about EUR 20 million is likely more normal. Other includes book gain on asset sales, restructuring and impairments, together leading to an income of EUR 74 million. Most of the items are not expected to reoccur. As such, the remaining item is in about EUR 5 million to EUR 10 million of noncontrolling interest expense. So all in all, we are optimistic to continue this ongoing generation of positive net income and earnings per share in the upcoming quarters. Moving to cash flow on Page 23. Our Q4 total cash generation came in very strong at EUR 253 million, supported by the sale of the majority of our Rath site. As such, our position has now changed from net debt to net cash. Working capital was flat in the quarter, which was a positive development against our expectations, which assumed an increase following the substantial working capital release of about EUR 100 million we had in Q3. Full year restructuring cash-out amounted to EUR 300 million, partially compensated by more than EUR 200 million of disposal proceeds. Restructuring cash-out will decline substantially from here on. While we continue to optimize our portfolio to increase return on invested capital, we do not give guidance on future disposal proceeds beyond the sale of the Indonesian logistics operations and the Thermotite do Brasil acquisition already announced, both of which are expected to become cash effective during 2025. Finally, on Page 24. Our net debt has reduced from almost EUR 1.5 billion at the peak into a net cash position of EUR 21 million at the end of Q4. Meanwhile, total liquidity has increased to more than EUR 1.8 billion, well above what we believe is required for a crisis-proof balance sheet. Philippe, back to you.
Philippe Guillemot: Thank you, Sascha. Let's turn to Slide 26 to discuss our outlook for the first quarter and full year 2025. Starting with our Tubes business. In the first quarter, we expect sequentially higher Tubes EBITDA per tonne to be more than offset by lower international shipments. For the full year, the strong recent booking performance in our international Tubes business should translate into an increase in international shipments in the second half of the year. Our overall EBITDA per tonne should improve further in the second half due to expected improvements in pricing, including in the U.S. on our ongoing cost reductions. For Mine & Forest, we expect our production sold to be approximately 1.3 million tonnes in the first quarter and around 6 million tonnes for the full year. Our EBITDA will be contingent on prevailing market prices for iron ore, though we do expect the benefit of the higher-quality ore due to the start-up of the Phase 1 mine extension project. At the group level, we expect our first quarter EBITDA to range between EUR 180 million and EUR 215 million. Looking at the full year, we expect the second half improvement in the Tubes business will drive higher EBITDA at the group level and set a strong exit rate for the business as we move into 2026. It should be clear that we expect another year of strong EBITDA and cash flow at Vallourec. To conclude on Slide 27. We delivered another successful year in 2024, which was punctuated by reaching our net debt 0 target a full year ahead of plan. I thank everyone in Vallourec for their tireless efforts to make this goal a reality. Secondly, we are very proud to announce that we will pay our first dividend in a decade, starting with EUR 1.50 dividend to be proposed at our upcoming AGM. This level of return makes our stock one of the highest-yielding stocks in our peer group and the overall market. Third, I reiterate, we are not finished with our drive to make Vallourec more profitable through both efficiency initiatives and the technology investments we discussed today. Thank you again for your attention. And now Sascha and I are ready to take your questions.
Operator: [Operator Instructions] We will now take our first question from Jean-Luc Romain from CIC Market Solutions.
Jean-Luc Romain : I was wondering whether the increase in tariffs in the U.S. will result in more competition on international markets and kind of affect or impact your deliveries. But I believe your focus on higher-value products kind of protects you from this impact. Could you confirm this?
Philippe Guillemot: Yes. In fact, your reading is a good one. I think the Vallourec positioning on high value-added products, obviously, make us more immune to potential competition from people that we see their export opportunities in the U.S. decreasing. So no, in fact, yes, I think for us, it's not a concern.
Operator: [Operator Instructions] Our next question comes from Daniel Thomson from BNP Paribas.
Daniel Thomson : Congratulations on the year-end results. Just 2 questions related to the U.S. market. Firstly, look, we're seeing some pretty rapid moves in the input costs if I look at recent changes in scrap pricing, HRC pricing. I'm kind of wondering how your pricing strategy works from here and how difficult is it to sort of anticipate changes in the raw materials costs? How do you sort of keep ahead of a changing raw material cost base? Secondly, so thanks for clarifying that there will be no increases in greenfield capacity. We do notice in the U.S. market, you're producing quite well below existing nameplate capacity, I think around 500,000 or 550,000 tonnes per annum against like an 800,000 tonne nameplate maybe. What would it take to sort of increase to get closer to nameplate? How are you sort of looking at this internally as the U.S. market kind of turns from here?
Philippe Guillemot: Okay. Well, I think the best answer to your question on how we manage input cost increase, look at what we have done since I joined. I think we have been very disciplined and efficient in passing through any cost increase we see anywhere in the world. So that will obviously continue to be the case, even though, for the time being, it's not yet material, at least in the U.S. Capacity-wise, the capacity that matters for us because we have -- the way our industrial setup is we have obviously more capacity in steel than we have in rolling, that we have in heat treatment, that we have in premium threading. What matters for us are the last 2 steps of our process, heat treatment, premium threading. And obviously, we pay careful attention to have the right capacity to increase our market share with our high value-added products through investment on these 2 last steps. As an example, we are investing to increase our capacity to produce high-torque connections for the U.S. market. But again, I insist, we have, hopefully, and that's the way it should be in any industry like ours, higher capacity on the upstream part of the process, okay? And obviously, we have still room to improve the manning, the number of crews we are operating our assets.
Operator: [Operator Instructions] We will now go over to Kevin Roger from Kepler.
Kevin Roger : I have 2, if I may. The first one, you mentioned that you have been very successful recently in a number of tenders. So I was wondering if you can comment us a bit on the region where you have seen some huge volume on your side and if you can maybe comment the competitive landscape, the pricing dynamic, et cetera, so to understand a bit more the impact that you expect on H2 from those recent tenders. And the second one is maybe on the U.S. with all the uncertainties related to the tariff, et cetera. I was wondering if you can share with us your interpretation of the January data from the U.S. Department of Commerce with the level of OCTG imports that increased quite significantly. I know it's a mix of everything, but we went to 240,000 tonnes almost, which is the highest level since early '23. Just to understand how you interpret this number, please?
Philippe Guillemot: Well, first on -- yes, as I said, we enjoy a significant increase of booking end of '24. So in fact, when you look at our booking -- our order booking for '24, it's very much back-ended. And it could -- the same trend continues at the beginning of '25. And as you know, there is a time lag between booking and revenue. That's the reason why I can tell you that H2 definitely will be stronger than H1, both on volume, on top line and, as a consequence, likely on margin given the terms at which we have signed these orders. So -- and obviously, a region which is very fairly dynamic right now -- all regions are very active, but Middle East, among them is one of the most active, whether in Saudi, whether in the Emirates, in Kuwait, in Qatar. So I think that's the reason why I think we see this momentum. As far as the impact of U.S. tariff is concerned, imports have decreased over the year in '24. So -- and they are not likely to pick up shortly. And again, you need to, as we explained, to distinguish between welded and seamless pipe. These are 2 different markets, 2 different behaviors. I would say welded pipes are more, I don't say, commodity product. But anyway, they are not the one used for casing, which are needed in the U.S. So that's why when you look more specifically at the seamless pipe business where we operate, I think we don't see today any reason to be worried. And as I said, it's likely that the Trump administration has a clear objective to favor domestic capacity, and we are American in America. As I said, 100% of what we sell on the onshore market is produced, fully integrated with a fully integrated setup in the U.S. And I'm sure that the Trump administration will pay careful attention to reach their objective, which is to favor domestic players.
Sascha Bibert: Kevin, I would add, going back to your January data point that you referenced in the context and spirit that Philippe just mentioned, I would say one interpretation could also be that there was a certain anticipation with respect to the tariffs to come and which indeed were announced.
Operator: We will now take the next question from [Mike] Pickup from Barclays.
Mike Pickup : Nice set of results. Can I just check what you're thinking about on the U.S.? Obviously, back when 232 was announced back in 2017, there was an initial set of terms and conditions and then it all got negotiated away and, over about 6 months, different things came into place. Are you expecting something similar again this time?
Philippe Guillemot: We'll see. Anyway, operators offshore will continue to need, obviously, pipes to operate. Clearly, if there is increase due to tariff, we will pass them through as all players delivering to this market. And maybe at some point, they will end up with a discussion with the White House to have exemption. I don't know. But whatever happens, anyway, we will continue, obviously, to be active on this market and protect our margin.
Mike Pickup : Okay. And can I just check on your guidance for H2 better than H1, are you assuming any pricing increases in the U.S. in that? Or is that just volumes or stuff you signed already?
Philippe Guillemot: Thank you for the question. No. What I'm telling you is even before any potential positive impact of the tariff on pricing in the U.S.
Operator: [Operator Instructions] Our next question is from Baptiste Lebacq from ODDO.
Baptiste Lebacq : Congratulations for your results. Two questions from my side. The first one is regarding your liquidity position. You are close to EUR 1.9 billion, and you are targeting a crisis-proof balance sheet with liquidity at 1. So clearly, you are quite comfortable. What could -- how could you use, let's say, this excess cash? Could it be if you exclude, of course, share buybacks, maybe trying to negotiate with the warrants holders? And second question is regarding the U.S. and your footprint in the U.S. and exposure to gas tubes. Can you give us an idea of your, let's say, the weight of your sales or tonnage, which are exposed to this gas business for the moment?
Philippe Guillemot: Well, first, I will answer your second question. Yes, we are roughly exposed 20% to the gas-directed wells in the U.S. And you're right, given the fact that there could be more investment for LNG to be exported from the U.S., we could see, and again, today, we are not factoring this in our forecast, we could see an increase of rig-directed wells. And obviously, we will benefit from it because, as you know, these wells require the high-value connections we produce. As far as the return policy is concerned, I would just repeat what we said. We committed 18 months ago, and I would say only 18 months ago, we set the ambition to return 80% to 100% of our total shareholder return. And obviously, we today announced we are going to do it. Nevertheless, you have noticed that we reiterate the fact that we want to be disciplined on our balance sheet and not exceed 0.5 leverage at any time after having returned -- made the return to our shareholders. You noticed, obviously, our liquidity to be much higher than the minimum we have set. And now I hand over to Sascha to tell you obviously what it could mean for us. But we just refinanced our balance sheet in April last year. So obviously, at some point, it will happen again. That's likely to be when we will see how big a balance sheet we need given the profile of Vallourec as it is today, which is a very resilient company.
Sascha Bibert: Indeed, more than EUR 1.8 billion liquidity made up of the liquidity facilities off balance sheet and then cash at hand. I'm inclined to say that in the very short term, if anything, that liquidity will increase because we haven't changed our ambition to consistently generate cash each and every quarter. However, then parts of the liquidity, especially the cash on hand will be utilized for the dividend payment that we have just announced, i.e., equivalent to about EUR 350 million. Thereafter, we will see how further shareholder return in whatever shape and form as well as cash generation interplays. But indeed, our liquidity is solid in every scenario.
Philippe Guillemot: And again, when you look at our dividend at EUR 1.5, we are distributing the total cash generation of H2 last year. Obviously, in '26, we'll have to -- we intend to return full year cash generation.
Operator: [Operator Instructions] We'll now go back to the line of Daniel Thomson from BNP Paribas.
Daniel Thomson : I just wanted a quick follow-up on the comment on the China region. I think you said the margins have now gotten to a level in line with the group. So I'm just wondering from here, are you planning to -- is there potential for exports out of that region to become accretive to the group? Or are you kind of satisfied with where you've got to from that manufacturing base?
Philippe Guillemot: Yes, thank you. Yes, rightly, you said that, yes, our -- now we are glad we have our asset in China. Now they are more than 90% dedicated to export with high value-added product. And obviously, the margin comes with it. But let's be clear, China as a cost base is the lowest we have in the group. So when you combine it with, obviously, the price we have on the product we are making there from being not generating any EBITDA, any cash for uses in Vallourec from being at par with the group, we obviously potentially may have the ambition to make it even a positive. But obviously, that's something to come. And that's why we continue to increase the capabilities of these assets in order to make it happen.
Operator: We have no further questions in queue. [Operator Instructions] Because there are no further questions, I will hand the call back to your host, Mr. Philippe Guillemot, to conclude today's conference.
Philippe Guillemot: Thank you, operator. Thank you again for joining us for today's call. I'm extremely proud of our performance in 2024 and, in particular, the fact that we are now in a position to pay a meaningful dividend for the first time in a decade. This speaks to the depth of change that has occurred in Vallourec over the past 3 years. Our market environment remains robust, and we expect to deliver strong results in 2025 and beyond. Thank you again. Operator, you may close the call.
Operator: And this concludes today's conference. You may now disconnect.